Operator: Good afternoon, and welcome to the Alto Ingredients Inc. Second Quarter 2024 Financial Results Conference Call. All participants are in a listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Kirsten Chapman with LHS Investor Relations, a division of Alliance Advisors. Please go ahead.
Kirsten Chapman: Thank you, Kaley, and thank you all for joining us today for the Alto Ingredients second quarter 2024 results conference call. On the call today are President and CEO, Bryon McGregor; and CFO, Rob Olander. Alto Ingredients issued a press release after the market closed today, providing details of the company's financial results. The company has also prepared a presentation for today's call that is available on the company's website at altoingredients.com. A telephone replay of today's call will be available through August 13, the details of which are included in today's press release. A webcast replay will also be available at Alto Ingredients website. Please note that the information on this call speaks only as of today, August 6. You are advised that time-sensitive information may no longer be accurate at the time of any replay. Please refer to the company's Safe Harbor on Slide 2 of the presentation available online, which states that some of the comments in this presentation constitute forward-looking statements and considerations that involve risks and uncertainties. The actual future results of Alto Ingredients' could differ materially from those statements. Factors that could cause or contribute to such differences include, but are not limited to, events, risks and other factors previously and from time to time disclosed in Alto Ingredients' filings with the SEC. Except as required by applicable law, the company assumes no obligation to update any forward-looking statements. In management's prepared remarks, non-GAAP measures will be referenced. Management uses these non-GAAP measures to monitor the financial performance of operations and believes these measures will assist investors in assessing the company's performance for the periods reported. The company defines adjusted EBITDA as unaudited consolidated net income or loss before interest expense, interest income, provision for income taxes, asset impairments, loss and extinguishment of debt, unrealized derivative gains and losses, acquisition-related expense and depreciation and amortization. To support the company's review of any non-GAAP information a reconciling table was included in today's press release. On today's call, Bryon will provide a review of our strategic plan and activities and Rob will comment on our financial results. Then Bryon will wrap up and open the call for Q&A. It is now my pleasure to introduce Bryon McGregor. Please go ahead, sir.
Bryon McGregor: Thank you, Kirsten. We welcome our investors, value customers and other stakeholders joining us today. The Pekin campus has been producing alcohol for over 150 years through many market cycles, and we will continue to produce well into the future. Over the last few years, we've been leaning on our strong balance sheet by utilizing cash flow from operations and excess liquidity to fund capital upgrades in repair and maintenance to strengthen our facilities and to improve our long-term profitability. While these additional expenses can impact our short-term results, our recent efforts are beginning to yield operational improvements, and we are confident we will reap long-term benefits. In Q2, our initiatives increased production in our Pekin campus, positioning us to benefit from improving ethanol margins. These efforts further demonstrate the advantages of our production facilities located there, including the ability to operate profitably on a consistent basis. More specifically in Q2, even with over $5 million relating to spring outages, our Pekin campus generated over $10 million of gross profit, up from over $4 million in Q1, reflecting these programs and higher crush margins in June. In Q2, 2024 the average Chicago crush margin increased to $0.21 per gallon compared to just above breakeven in Q1 2024. In July, the average Chicago crush margin rose further to $0.48 per gallon. These improvements align with the optimism we expressed on our Q1 call regarding strengthening crush margins, solid corn supplies and growing export demand. Assuming margins remain strong, we expect to deliver solid financial results in Q3. That said, our consolidated Q2, 2024 net loss and adjusted EBITDA were negatively impacted by the cost of our biannual wet mill outage, preventative repairs and maintenance at all our facilities, lower feed and carbon prices, particularly with respect to our Columbia facility and realized losses on hedging activities. Rob will discuss our financial results in greater detail in a moment. To generate more sustainable profitability in the long-term, we've been actively expanding our revenue streams. I'll review our operations and strategic initiatives, beginning with carbon capture and storage, or CCS. We'll expect that the regulatory developments in carbon market fluctuations will affect this initiative on an ongoing basis. Most recently, Illinois signed into law the SAFE CCS Act on July 18, establishing stringent safety, financial and insurance requirements on carbon dioxide pipelines. This act also imposes a moratorium on construction of new carbon pipelines until the federal Pipeline and Hazardous Materials Safety Administration finalizes its new safety rules or July 1, 2026, whichever occurs sooner. This timing aligns with our current proposed CCS project permitting and construction schedules. We believe the act will add clarity for the industry on CCS projects, although we do anticipate increased compliance and other requirements. The CCS market also remains dynamic. For instance, on the economic front, current prices in the low carbon fuel standard markets are at historic lows and voluntary carbon markets are nascent. As such, it is difficult to project with certainty beyond the value of the 45Q tax credits that began at $85 a metric ton with the dollar values of the associated environmental attributes will be over the life of our proposed CCS project. Given our plans to take a capital-light approach to this project, we need to align Alto and its various partners, resources to best bear the various risks while retaining the appropriate financial benefits. Given these evolving dynamics, it's important that we bring the right partners to the table, we believe we're doing so effectively as we continue to work collaboratively with Vault and other parties. Moving to operations. As previously discussed, we conducted our biannual wet mill repairs and maintenance outage at Pekin campus in April. This scheduled outage was completed on time within budget and is now demonstrating improvements over prior operational performance. For example, we increased production at the wet mill improving capacity utilization while reducing our fixed cost per unit. The Pekin campus is now fully operational and taking advantage of the summer driving season economics. We remain on track to achieve 90 million gallons or more of specialty alcohol sales in 2024. We are encouraged when the demand from existing and new customers. We're capitalizing on our proximity to the river, which gives us access to the Gulf and the ability to export product. We're building a second loading dock in our Pekin campus that will increase barge volume, reduce our overall transportation costs and provide critical redundancy. We expect the cost of the second dock to be less than $3 million. Now let's pivot to review our Western plants. We built these facilities at a time when destination plans delivered a solid and differentiated value proposition. As competition in corn basis increase in carbon values declined, we began investing in these plants to broaden our revenue streams and improve profitability. Ultimately, our goal is to optimize their value, which could include operating them long-term as part of our portfolio of production assets or evaluating the sale of one or both plants. At Magic Valley, we continue to work with our high-protein system vendor, Harvest Technology to produce increased levels of corn oil into higher protein feed products that garner higher prices. In January of this year, we had hot idled the plant due to negative regional crush margins and to address the excess water and mass balance challenges that inhibited our ability to operate the plant at capacity and to achieve the target results from our corn oil and high-protein system. We made significant modifications that included the installation of additional equipment and adjustments to the design process flows. Also in Q2 to optimize plant efficiency upon restart, we accelerated routine maintenance activities, including tuning other major plant equipment and operating systems, performing routine cleanings and flushing prior process residuals. We resumed operations in early July and are encouraged by the initial results. We expect to increase production rates in the coming weeks as we complete the system upgrades. We intend to do so carefully to ensure that process remains balanced and our products meet quality expectations. We anticipate having a clearer picture with respect to the effectiveness of the system modifications and the general performance of the plant later this summer. In Q2, we significantly improved the production rates at our Columbia plant by addressing centrifuge limitations we experienced in Q1. As a result, we increased capacity utilization rates in Q2 and anticipate further improvements as the summer driving season continues. We're currently working on other ways to improve the facility's profitability and hope to share more information with you over the coming quarters. Before I turn the call to Rob, I'd like to note that customers have indicated their support of our efforts to continue to improve our sustainability and lower our carbon footprint. In July, our ICP and Pekin plants received the 2024 Bronze Medal sustainability rating from EcoVadis, which honors the top 35% of companies assessed. EcoVadis is a globally recognized business sustainability rating service that sets corporate sustainability standards. Now I'll turn the call to Rob.
Rob Olander: Thanks, Bryon. I'll review the financial results for the second quarter of 2024 compared to the second quarter of 2023. During Q2, 2024, we sold 95.1 million gallons, relatively consistent with 94.4 million gallons sold during Q2 of 2023. However, due to lower market prices in 2024, Q2, 2024 net sales were $236 million compared to $317 million in Q2, 2023. Although ethanol prices decreased, crush margins remained consistent, therefore, lower ethanol prices did not materially impact gross profit. In fact, during Q2 2024, our Pekin campus contributed over $10 million to gross profit even after considering its average costs, loss production margins and derivative losses. Total gross profit for the quarter was $7.6 million, down $9.6 million from Q2, 2023, yet up over $10 million from Q1, 2024. Various factors impacted our gross profit and bottom line results, while our essential ingredients return improved 46% in Q2 of 2024 compared to 38% a year-ago, revenues decreased in Q2 in 2024 compared to Q2 2023. This is largely the result of a compression on protein prices due to an increase in soybean meal supply, a consequence of production growth in soy crush, driven by the demand for renewable diesel. Next, renewable fuel revenue and bottom line results at our Columbia plant were negatively impacted by historic low carbon market pricing. Additionally, as Bryon outlined on our last call, in Q2, we completed repairs and maintenance initiatives, including our Pekin wet mill outage to improve our operational performance heading into Q3. It's important to note that costs associated with wet mill outages are more substantial than those for dry grind facilities due to the nature and extent of the maintenance activities, the extended downtime required and the opportunity costs. The biannual outage cost $3.6 million and the planned ICP outage cost, $1.8 million in Q2, 2024. This does not include lost revenue associated with approximately 3.5 million fewer production gallons. During Q2, on a consolidated basis, we recorded $11.3 million in repairs and maintenance expense, including a portion of the outage costs, and we remain on track for our 2024 estimate of $34 million in total repairs and maintenance expense for all plants. Finally, realized derivative losses for Q2 of 2024 were $2.9 million compared to $5.5 million in realized derivative gains for the same quarter in 2023. As covered previously, we employ a variety of risk management strategies to mitigate the price volatility of different commodities throughout the year as a normal course of business. Our consolidated net loss for Q2 2024 was $3.1 million compared to net income of $7.6 million in Q2 of 2023. Adjusted EBITDA for Q2 2024 was negative $5.9 million, including $3.6 million in costs related to our wet mill outage and the $2.9 million in realized losses on derivatives. This compares to positive adjusted EBITDA of $14 million, including $5.5 million in realized derivative gains in Q2 2023. As of June 30, our cash balance was $27 million, and our total loan borrowing availability was $95 million, including $30 million under our operating line of credit and $65 million subject to certain conditions under our term loan facility. In Q2, 2024, we used $13.7 million in our operating activities, bringing the year-to-date total to a net use of $12.3 million. We invested $4.7 million in CapEx, bringing the year-to-date total to $9.3 million, in line with our $25 million plan for 2024. As Bryon noted, we are pleased with the margins in July and if they remain strong, and we continue to meet our production targets, we expect to deliver positive adjusted EBITDA for Q3. With that, I'll turn the call back to Bryon.
Bryon McGregor: Thank you, Rob. We've been executing our plan to improve our profitability and leverage our strengths and opportunities. The major planned outages we completed in the second quarter positioned us to benefit from positive crush margins in the second half of 2024. We're excited to see our initiatives come to fruition, bolstering our ability to continue to serve our customers for many years to come. Operator, we're ready to begin Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Sameer Joshi with H. C. Wainwright.
Sameer Joshi: Good afternoon, guys. Thanks for taking my questions. Let me start with the last point you discussed about the CapEx of $25 million on target are in line with the guidance. So far, you have spent $9.3 million. What is the rest of the CapEx slated for this second half?
Rob Olander: Yes, sure. We've got a variety of different CapEx projects that we've reviewed and approved, and we have planned for later this year. I will note that we've spent less year-to-date, but there is also more spend slated in the second half of 2024.
Sameer Joshi: Any particular areas you're focused on for that?
Rob Olander: A lot of the areas involved the things that we talked about before, increasing plant efficiencies, upgrading various systems, things like that.
Bryon McGregor: Would also include the $3 million from the new pipeline. The new loading facility.
Rob Olander: Right. The new alcohol dock, yes.
Sameer Joshi: Got it. And then these various upgrades that are being done, and you talked about increasing capacity utilization at each – as a result of each of these maintenance and upgrades. Is there quantifying – like can you quantify it like what levels were you achieving before? And what are the expected levels for, say, 3Q and 4Q of utilization at these plants?
Bryon McGregor: So Sameer, it depends on what we're talking about, and that's why we didn't provide specific details in the prepared remarks. But what we're overall seeing is somewhere between 10% and 15% improvements from production prior to the event. And it just – again, it depends – as an example, we've seen about a 10% improvement in ethanol production. Overall, that would include both specialty and beverage – I'm sorry, specialty and fuel, but it would also – we've seen up to 15% improvements in essential ingredients. A lot of our quality essential products that come out, including yeast that come out of the wet mill. So overall, very pleased. And we hope to see continued improvement in that over the – as we continue to further line out the operations.
Sameer Joshi: Thanks for that color. And then just one clarification, maybe the OpEx was up slightly. I know that these other costs have not run through the OpEx line, but was there a reason for this slight bump in OpEx?
Rob Olander: Yes. We are here, sorry. I mean there's a lot going in into the other OpEx category. One of the things to note is until we've officially approved the path forward related to our carbon capture and storage project, some of the upfront costs run through that line item.
Sameer Joshi: Some upfront costs, okay about it. Okay thanks.
Bryon McGregor: That activity clearly picked up. Yes, Sameer sorry, that activity has clearly picked up year-over-year. And so that would account for a material portion of it.
Sameer Joshi: Thanks. I'll take my other questions offline. Thanks.
Bryon McGregor: Okay. Thanks, Sameer.
Rob Olander: Thank you.
Operator: Your next question comes from Eric Stine with Craig-Hallum Capital Group.
Eric Stine: Hi, Bryon. Hi, Rob.
Bryon McGregor: Hey, Eric.
Eric Stine: Hey. So just on carbon capture. So I can appreciate the timeline in July 1st of 2026 and how that matches up. But I also know there are a number of steps that were targeted kind of in the interim. So just curious how you think about that, how your partners are thinking about that, the various steps, whether it's the Class 6 permit, negotiating with those financing partners and thinking about an investment in your region versus maybe some other region where they're not running into the same issue. So just some thoughts on that would be great.
Bryon McGregor: Sure. As I mentioned in our prepared remarks, we think that we picked the right partners. We're working diligently ahead. They've been very collaborative and cooperative clearly having to address issues as they arise. As an example, the SAFE CCS act that recently was enacted in Illinois and pivoting and addressing those issues and not to fully reiterate what was in the prepared remarks, but maybe from additional color is that. There are – in the capital-light approach, there are risks that and adjustments that you need to make that you would otherwise wouldn't need to make if you were just doing it all on balance sheet, right? I think that we have those parties that are there and best soon to be able to handle those risks, but it's also doing in the way and in an organized way so that you are not assuming risks that you otherwise don't need to take beforehand. So as an example, if you think about the Class 6 permit, that's a two-year program, right, at a minimum from EPA. And you have to make decisions as to when you want to start to do your purchasing for compression. Do you assume that – do you start right out of the box and start ordering that before you have your Class 6 permits? Or do you wait until you've got your Class 6 permit approved and submitted and awaiting final approval and some of those other processes that need to be in place. So those are all the things that are going into consideration. There are a number of parties out there that are willing to sell as an example, they are carbon credits or the environmental attributes well in advance to finance their terms. Is that the appropriate approach? And are you giving up too much? Or do you try to retain those values and wait for those to come in the future? So those are all things that are a few things that come into the calculus when you're working through this process. So I don't know if that's helpful, Eric, but it's in balance and risk and return.
Eric Stine: Sure. I mean but net effect, you do feel wondering with Vault or with some of the financial partners that you are in negotiations with that those are the right parties that are willing to deal with that – with the needed flexibility just given the situation?
Bryon McGregor: Correct.
Eric Stine: Okay. All right. Appreciate that. And then maybe just turning to Magic Valley, so good to hear that you've got the restart, and it's been going for, what, a month or so. Just curious like what – it sounds like you've taken the right approach to be measured in it, but what do you kind of need to see to where you're convinced that you're on the right track? And is it – does this push out a little bit the decision in terms of maybe rolling this technology out to other plants?
Bryon McGregor: So we are pleased with what we've seen so far that the steps that we took to expand and add additional equipment to be able to give additional leniency into the process so that you don't have to have everything out aligned fully all of the time was important. And we're seeing the value of that today probably running at around 70% of capacity today. So to achieve – what we would define as successes is being able to achieve maximum capacity than we saw before we implemented the project and be able to achieve the goals and the targets that we had established with Harvest Technology to put that system into place. To answer your question with regards to other applications within our – within the portfolio of assets that we have, it's certainly an open option still, but I think that we are – we think it's prudent and to be measured and to see the success or not only because we've been waiting a long time, but so of investors to see the results of this investment. So we want to see that through before we make any comments or decisions with regards to what we're going to do going forward at our other sites.
Eric Stine: Okay. Thanks a lot.
Bryon McGregor: Thanks, Eric.
Operator: [Operator Instructions] Your next question comes from Justin Dopierala with DOMO Capital.
Justin Dopierala: Hi, guys. Thanks for taking my questions.
Bryon McGregor: Hello, Justin.
Justin Dopierala: Hi. Just to tack on to that last thing. In the prepared remarks, you mentioned that you're expecting a Magic Valley update later this summer. Is that something that would be prior to your next earnings call then?
Bryon McGregor: It's a good question. Well – to the extent that there's material disclosure, yes, we'll make sure that we do that. Otherwise, it may line out appropriately with the third quarter call. If you think about it, you're not only talking about reaching achieving capacity, but really what you're also talking about is being able to place your product and get the penetration that you were hoping for with regards to higher proteins and corn oil and placement of that product. So whether it's – I guess what we'd like to say is let's play it by year, but we'll make sure that we provide information as appropriate.
Justin Dopierala: Okay. And I imagine the success of that would probably go a long way towards your ability to be able to monetize the Western assets as well. Would that be fair to say?
Bryon McGregor: Well, it certainly wouldn't hurt.
Justin Dopierala: Absolutely. You highlighted…
Bryon McGregor: It hasn't hurt us either to have that asset on, right? I mean these are unique assets. So that we maximize value for shareholders, whether it's whichever way it is.
Justin Dopierala: Okay. And you highlighted the shutdown costs of Pekin. I was wondering if you could quantify the impact of Magic Valley being idled as well as far as that Western gross margin?
Rob Olander: Yes. We don't typically provide those levels of specifics. But if you recall, we chose to bring the plant down earlier this year when the crush margin environment was less favorable. And so in large, that kind of offset our operating losses, which kind of also underscores the reason why we're incorporating this technology, which is to improve our profitability and our crush margins and more challenging market environments. So it's kind of hard to quantify the lost opportunity cost in that case.
Justin Dopierala: Got it. And I guess just my last question for you guys is, as you noted, in July, crush margins have doubled. So I am a little bit surprised by your guidance of positive adjusted EBITDA versus coming out and announcing or guiding towards positive net income. Are there any major Q3 uncapitalized costs we should be aware of? Or are you guys just being ultra conservative?
Rob Olander: I'll take that one. Yes, I mean, Justin, we try to be conservative but also transparent in what's going on. In our comments stem from July being behind us now and us being pleased with the financial results. As we stated on the call, as long as our – the crush margins remain strong, and we continue to produce at the levels we are, it should be a very favorable quarter.
Justin Dopierala: Okay. Thank you.
Rob Olander: Keep in mind, we operate in the commodity markets. And so things ebb and flow.
Bryon McGregor: And there are some things that just were beyond the impact net income that you may or may not be able to control as an example, you're realized gains and losses and unrealized gains and losses in derivatives and the like. So it probably falls in the conservative CAM – has under promise, over deliver.
Justin Dopierala: All right. Hold you to it.
Bryon McGregor: I know you will...
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bryon McGregor for any closing remarks.
Bryon McGregor: Thank you, Kaley. Thanks, everyone, for joining us today. In September, we hope to see you at the H.C. Wainwright Annual Conference. We appreciate your ongoing feedback and support. Have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.